Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Sterling Bancorp 2009 earnings conference call. Currently, all lines are in a listen-only mode. Following the presentation, there will be an opportunity for a question-and-answer session. Those instructions will be given at that time. (Operator Instructions) And as a reminder, today's conference is being recorded. I'd now like to turn the conference over to investor relations advisor to Sterling Bancorp, Edward Nebb. Please go ahead, sir.
Edward Nebb: Thank you, Nick, and good morning, everyone. Thanks for joining us. Sterling's news release announcing the full year and fourth quarter 2009 results was issued today prior to the market open. We hope you've had an opportunity to review it. The release is also available on the company's Web site at www.sterlingbancorp.com. Before turning to the discussion of the company's financial results, let me remind you that any comments made today about future financial results or other future events are forward-looking statements under the Securities and Exchange Act of 1934. Actual results may differ substantially from such forward-looking statements. The amounts of any dividends in 2009 and beyond will depend on the company's future results of operations, financial condition, and other relevant factors. A discussion of factors that could cause actual results to vary is contained in Sterling's annual and quarterly reports filed with the SEC. We will have introductory remarks today from Mr. John Millman, President of Sterling Bancorp; and, Mr. John Tietjen, Chief Financial Officer. After their remarks, we'll open up the call to take your questions. With that, I'll now turn the call over to Mr. Millman.
John Millman: Thank you, Ed, and good morning, everyone. Welcome to the conference call (inaudible) December 31st, 2009. The health of the economy at the end of 2009 and the beginning of 2010 can be described as improving, but still fragile. Unemployment remains stubbornly high. Consumer spending lacks true conviction. And corporate performance remains uneven. Thus, prospects for a sustainable, broad-based recovery are still tentative and uncertain. Against this backdrop, Sterling's performance for 2009 clearly demonstrates that we have benefited from our sharp focus in serving the New York metropolitan area marketplace, our strong capital foundation, and a proven business model that has allowed us to navigate countless economic cycles over more than 80 years. Pre-tax, pre-provision income grew significantly in comparison to the previous year. Our performance benefited from an increase in net interest income, significantly higher non-interest income, and sound expense management. We continue to grow our already high levels of non-interest-bearing demand deposits, which have been key contributors to our strong net interest margin. We also saw improvement in the credit metrics in the fourth quarter. GAAP net income for 2009 was $9.4 million or $0.52 per diluted share. Our pre-tax, pre-provision income for the year was $42.2 million, an increase of 26%, compared to 2008. In addition, pre-tax, pre-provision income increased by $1.1 million sequentially from the third quarter to the fourth quarter of 2009. We believe pre-tax, pre-provision income is a clear indicator of Sterling's earning capacity, which might have otherwise be obscured by the effects of higher provisions for loan losses. Let me comment on some of the key factors that contributed to our 2009 performance. Net interest income increased by nearly $2 million, and our cost effective funding strategy enabled us to increase the average net interest margin to 4.63% for the year. Non-interest income was up 33%. In particular, we benefited from strong growth at accounts receivable management, factoring, and trade finance income, reflecting our acquisition of the DCD import trade financing business in the second quarter. We also increased mortgage banking deposit fee and service fee income. We extended new credit facilities totaling $212 million in 2009, with drawings on those facilities of approximately $100 million. This activity has been largely driven by new borrower relationships, while at the same time, we've been actively working to do more business with existing customers. In the current environment, many of our traditional competitors have neglected the needs of middle market businesses, either because of the lender's capital or liquidity issues, industry consolidation, or shift in their strategic priorities. In contrast, we have been active in pursuing relationships with these overlooked and underserved customers who have been an excellent source of growth for Sterling. Demand deposits increased to $546.3 million at year-end, representing nearly 35% of total deposits. As you know, Sterling traditionally has one of the highest ratios of demands of total deposits in the industry. And this is a key source of our cost effective funding. Non-interest expenses remained well controlled. Excluding the incremental costs of our acquired accounts receivable management, factoring, and import trade finance business; higher pension expenses; and, industry-wide FDIC assessment, non-interest expense has declined slightly for the full year and were down for the fourth quarter. All of our capital ratios continue to exceed well-capitalized requirements. Our total risk-based capital was 12.75% at December 31st, 2009. In terms of asset quality, we have continued to make – to take prudent measures in response to the difficult conditions in the lending market. But we're seeing a moderating trend in certain key measures. The level of non-accrual loans has steadily decreased since early in the year, falling to less than $80 million for the 2009 fourth quarter, from $90.8 million for the third quarter and $20.6 million at the end of the second quarter. Non-accrual loans were $8.9 million at the end of 2008. Our ratio of non-accrual loans to total loans declined to 1.46% at the December 31st, 2009, from 1.60% at September 30th, 2009 and 1.69% at June 30th, 2009. The ratio was 0.61% at December 31st, 2008. Lease financing continues to account for the majority, nearly 67% of non-accrual loans as the recession has had a distortion impact on the types of small to mid-sized businesses served by our leasing group. In response, we have reduced our lease financing balances by about $61 million since the beginning of 2009. Our leasing portfolio now represents less than 16% of total loans. In addition, we have intensified our collection activities during 2009, especially in the lease financing area, and we have further strengthened underwriting standards and enhanced credit evaluation criteria. The provision for loan losses increased to nearly $8 million for the 2009 fourth quarter, a sequential increase from $7 million for the third quarter. Net charge offs were $7 million for the fourth quarter, compared to $5.7 million for the 2009 third quarter. The 2009 fourth quarter provision exceeded net charge offs for the period by about $900,000. The allowance for loan losses was increased to $19.9 million or 1.66% of loans held in portfolio at December 31st, 2009, up from $16 million or 1.35% a year earlier. For a number of financial institutions and their investors, exposure to the commercial real estate and consumer sectors remains a matter of considerable concern. It is important to note that Sterling has experienced very stable asset quality in our commercial real estate loan portfolio. Commercial real estate loans represent less than 8% of total loans and portfolio, while construction and land loans – developed loans are approximately 2%. Furthermore, we have no credit card receivable, home equity, or auto loans. And we have very limited exposure to other forms of consumer debt. In summary, we continue to see exceptional growth potential in the current environment. Sterling has the capacity and willingness to serve existing and new customers in a marketplace that has remained credit constrained. We have set ourselves apart from the competition through outstanding customer service. We have demonstrated our ability to make a productive acquisition that contributed to our performance during the past year. We are in a position to pursue further acquisitions of complementary businesses, portfolios, or banking franchises should the right opportunities arise. Finally, we have a strong capital base that can support the growth of our business. We will continue to seek out opportunities for profitable growth while managing our business in a prudent manner in the coming year. Now, let me turn the call over to John Tietjen.
John Tietjen: Thank you. I would like to comment on key aspects of our 2009 results, and particularly on the trends in the fourth quarter. Pre-tax, pre-provision income for the 2009 fourth quarter increased 29% over the same period last year with a total of $11.6 million. GAAP net income for the 2009 fourth quarter was $2.6 million or $0.15 per diluted share. Main factors affecting the results for the 2009 fourth quarter were an increase in net interest income, strong growth in non-interest income, a decrease in non-interest expenses as well as a higher provision for loan losses. Net interest income on a tax equivalent basis was $22.4 million for the fourth quarter of 2009, up from $21.8 million for the 2008 period. Net interest income benefited from higher average loan and investment security balances, lower borrowed funds balances, and lower funding costs due to our strategy in employing wholesale funding in lieu of higher priced CDs. These benefits were partially offset by lower yield on loans and investment securities due to market rates and higher net interest-bearing deposit balances. Net interest margin was 4.49% on a tax equivalent basis for the fourth quarter of 2009, compared to 4.50% for the same period in 2008. Interest earned on loans was $17.9 million for the fourth quarter of 2009, a decrease of $1.3 million from the prior year period. Average loan balance has increased by approximately $42 million for the quarter, while the yield on the loan portfolio decreased to 6.13% from 6.62% a year ago due to the lower rate environment and our mix of lending products. Income from investment securities decreased to $8.7 million on a tax equivalent basis, down approximately $700,000 from the year ago quarter. Average outstandings increased slightly to $741 million from $740 million. Yields on investment securities decreased to 4.69% for the 2009 fourth quarter, compared to 5.08% reflecting the purchase of lower yielding government agency securities to replace maturing corporate debt obligations and called agency securities. The average life on our portfolio increased to 5.4 years from 4.8 years at December 31st, 2008, reflecting the impact of higher market rates at December 31st, 2009 on our portfolio of callable US government agency securities. Interest expense on deposits decreased to $2.8 million for the 2009 fourth quarter from $4.4 million in the year ago due to decreases in the cost of funds, partially offset by higher balances. Average interest-bearing deposits were $1.05 billion for the 2009 fourth quarter, up from $923 million a year ago. The average rate pays on interest-bearing deposits declined 82 basis points from the year ago quarter to 1.06%. Interest expense on borrowings fell to $1.6 million for the fourth quarter of 2009 from $2.6 million a year ago. This likely reflected the lower rate environment in 2009 as well as shift in funding sources toward cost effective better reserve bank borrowings and away from dealer repurchase agreements and short term Federal home loan bank borrowings. The average rate pay for borrower's funds was 1.94%, down eight basis points from the prior year period. Average borrowings decreased to $336.7 million from $507.3 million in the year ago fourth quarter. Non-interest income increased to $10.8 million in the fourth quarter of 2009, up from $8.8 million year ago period. Among the factors driving the increase were higher income from accounts receivable management, factoring, and trade import business as a result of our acquisition of DCD earlier this year; and, an increase in mortgage banking income and deposit fee income. In addition, we recorded security gains in 2009. Non-interest expenses declined to $21.2 million for the fourth quarter, from $21.5 million last year. Decrease was largely due to lower expenses for marketing and advertising services and the recapture of previously expense professional fees in the professional fee category. This was partially offset by additional expenses associated with the acquired accounts receivable management, factoring, and trade import business; higher FDIC deposit insurance premiums; and, an increase in pension costs. Excluding such items, non-interest expense for the 2009 fourth quarter decreased by 8.6% from the prior year. The provision for income taxes was $1 million for the fourth quarter, compared to $2.7 million in the same period of 2008. Turning to the balance sheet, average loans held portfolio for the 2009 fourth quarter net of unearned discount was $1.2 billion, compared to $1.16 billion a year ago. Investment securities averaged $741 million for the fourth quarter of 2009, compared to $740 million a year ago. Approximately 70% of our investment portfolio consisted of 10 obligations of US government corporations and GSEs. Obligations of states and political subdivisions comprised over 11% of the portfolio, and corporate obligations represented slightly less than 18% of the portfolio. Those corporate obligations had an average maturity of – has a maturity of roughly 14 months. Deposit expenses for the 2009 fourth quarter – excuse me, total deposits for the 2009 fourth quarter averaged $1.5 billion, compared with less than $1.4 billion a year ago. Interest-bearing deposits averaged more than $1 billion, up from $923 million. Average demand deposits rose to $492 million from $431 million in the fourth quarter a year ago. Demand deposits represent nearly 35% of total deposits at 2009 year-end, reflecting the stability of our core funding. Borrowings for the fourth quarter of 2009 averaged $337 million, a decrease from $507 million a year ago, reflecting the shift in funding sources that I noted earlier as well as strategies to capture the most cost effective funding sources. The average cost of borrowings decreased to 1.94% from 2.02%, comparing 2009 to 2008 periods. Sterling capital ratios continued to exceed well-capitalized requirements. Our Tier risk-based capital ratio at December 31st, 2009 was 11.5%, total risk-based capital was 12.75%, and the Tier 1 leverage ratio was 8.06%. Our liquidity remains strong. Liquidity remains strong. The ratio of loans held in portfolio to deposits was approximately 75.6% as of December 31st, 2009 giving us ample capacity to increase our lending to customers. In conclusion, our 2009 performance reflected solid fundamentals. The growth in pre-tax, pre-provision income benefited from rising net interest income, higher non-interest income, and disciplined controlled expenses. At the same time, Sterling is distinguished by strong capital liquidity and commitment to superior customer service. With that, let me turn the call back over to John Millman.
John Millman: Thank you, John. I'll conclude by saying that Sterling is well-positioned for future growth and prepared to seize upon the opportunities that will arise in the coming year. We remain sharply focused on delivering profitable growth and increasing shareholder value for the long term while maintaining our traditional sound business practices. Now, we would be pleased to respond to your questions.
Operator: (Operator Instructions) Our first question is from the line of Lana Chan with BMO Capital Markets. Your line is open.
Lana Chan – BMO Capital Markets: Good morning.
John Millman: Good morning, Lana.
John Tietjen: Good morning.
Lana Chan – BMO Capital Markets: John, could you update us on your interest rate sensitivity? And how much of your portfolio is variable rates and if you have floors on any of those loans at the current time?
John Tietjen: The balance sheet continues to be asset sensitive. We don't have all the precise modeling done yet, roughly, 50%, maybe slightly higher than that. Loan portfolio is (inaudible). And we have – about 50% of that has floors in some fashion associated with it.
Lana Chan – BMO Capital Markets: Okay. So if rates rise by 100 basis points in 2011, is – do you initially get – you don't get the full impact or benefit from that because of the interest rate floors?
John Tietjen: We won't get the full benefit, but there are mitigants [ph] in the floors, and the rest of the portfolio will move a full 100 basis points. However, we have demonstrated in the past, when rates changed on the way down, we're pretty prompt in adjusting our funding costs. And on the way up, we're a little less prompt.
Lana Chan – BMO Capital Markets: Okay. And my follow-up question was with line utilization rates, do you see them in your commercial portfolio? Has it changed quarter-to-quarter?
John Tietjen: Lana, no it has not. It continues to remain relatively modest, 50% or less is typical usage among our best clients. Loan growth is largely – the loan book growth is largely made up from new client relationships, which we view as very positive.
Lana Chan – BMO Capital Markets: Great. Thank you.
Operator: Our next question comes from the line of Rick Weiss with Janney.
Rick Weiss – Janney: Hi, guys.
John Millman: Hi, Rick.
John Tietjen: Hi, Rick.
Rick Weiss – Janney: I was wondering if you talked a little bit about capital and how you see it as well as what do you expect will happen with the TARP preferred that you have?
John Tietjen: Well I think we've said in the call that we have sufficient capital to be able to handle incremental growth. If other opportunities were to present themselves, I think we would look at that and evaluate our capital needs at that particular point in time.
Rick Weiss – Janney: Okay. Do you think there's any risk or thoughts, or do you hear anything about what the regulators may do in terms of keeping capital requirements where they are? Do you think they're going to actually lift them?
John Tietjen: We've heard that there are some unofficial capital requirements that are being espoused by some of the regulators.
Rick Weiss – Janney: Okay. And just to go over to the lending side of it, what do you see the competition – or is pricing getting better? I know in the past few years, one of the problems it seems was it's hard to compete in terms like – nobody seems to have underwriting standards and I didn't want to lower yours. Right now, do you feel as if the pricing environment is better from that perspective?
John Millman: Yes, Rick, there has been a return to much more rational standards in terms of pricing. And we talked about this in the past, how difficult and irrational the market was. To a large extent, however, we're still seeing many lenders that we traditionally compete with reluctant to provide credit to the middle market. And that presents us with a real competitive opportunity.
Rick Weiss – Janney: Yes. But is it the larger banks that you're talking about that are reluctant too or smaller ones, or everybody?
John Millman: Across the board.
Rick Weiss – Janney: Across the board. Okay. Thank you very much.
John Millman: Thank you, Rick.
Operator: Our next question is from the line of Damon Delmonte with KBW.
Damon Delmonte – KBW: Hi. Good morning, guys. How are you?
John Millman: Good morning, Damon.
John Tietjen: Great.
Damon Delmonte – KBW: Could you remind us what you're targeted size for your lease portfolio is now?
John Tietjen: I don't know that we've established an absolute size level at this point. We continue to reduce that – we're getting cash flows of about $7 million a month at this point. And we're booking around $2 million to $2.5 million a month in new business. There has been improvement in the non-accruals on that portfolio. But we have not established a flow level at this particular point.
Damon Delmonte – KBW: Do you think the lender (inaudible) in that portfolio has peaked enough?
John Tietjen: We're seeing less migration into non-accruals at this point that we saw in the second and third quarters. We're optimistic, but I wouldn't say that we're ready to say that we're totally out of the woods.
Damon Delmonte – KBW: Okay. And now with respect to expenses, is there anything in the other non-interest expense line item that led to the reduction?
John Tietjen: Yes. I had indicated in my comments that we had a recovery of previously expensed professional fees of approximately $900,000. This was an old item. A portion of that recovery was also employed against the loans that we charged off so we see in – we put the (inaudible) out that there was a big increase, $1 million increase in recoveries in the allowance also.
Damon Delmonte – KBW: Okay. That's all I have. Thank you.
Operator: (Operator Instructions) Our next question is from the line of Collyn Gilbert with Stifel Nicolaus.
Collyn Gilbert – Stifel Nicolaus: Great. Thanks. Good morning, gentlemen.
John Millman: Good morning.
John Tietjen: Good morning.
Collyn Gilbert – Stifel Nicolaus: Just a follow-up to the two questions that Damon had asked, on the expense side, John, can you just give us perhaps a sense of what a normalized run rate will be for expenses in 2010?
John Tietjen: At these five seconds, I would say $22 million to $23 million a quarter. Again, when you look at the fourth quarter, the number to remember is this $900,000 benefit in there.
Collyn Gilbert – Stifel Nicolaus: Okay. Okay, that's helpful. And then, just on the leasing portfolio, what was a balance for leases this quarter? How big was the portfolio?
John Tietjen: On discount, it was $195 million, down from $255 million, $256 million net year-end last year.
Collyn Gilbert – Stifel Nicolaus: Okay. And do you know what the yield on the portfolio can be?
John Tietjen: I do not, no.
Collyn Gilbert – Stifel Nicolaus: Okay, okay. And then just taking into consideration both of your comments, John, as you mentioned on the leasing, and then, John, as you had talked about the environment, can you give some color as to what your expectations are for loan growths for 2010?
John Millman: I think that we'll see loan growth – I don't expect to see double-digit loan growth, but the high single digits would be readily attainable for us.
Collyn Gilbert – Stifel Nicolaus: Okay. And that's factoring in the net assumed run offs on the lease – in the leasing portfolio?
John Millman: Yes.
Collyn Gilbert – Stifel Nicolaus: Okay. Okay, that's helpful. And then just on the credit side, it seems as if the non-performing assets, the inflows are starting flow a little bit. Do you anticipate perhaps a stabilization in the reserve bill? Or how are you looking now at how you're building the reserve and what's going to drive that going forward?
John Millman: It wouldn't look forward to increase at the same rate as it increased in 2009. Without being totally insulting, you know there're many factors that go into the calculation of the level of allowance. And as we move forward, I think that you might see the size of the allowance as a percent of loans moderating slightly, maybe even becoming flat. But it's still too soon to settle.
Collyn Gilbert – Stifel Nicolaus: Okay, okay. And then, John, just any sense at all for the NIM, the outlook for the net interest margin. I guess that was my question on the leasing side to try to understand the dynamics a little bit more about what's going on in the loan book CD yield continue to come down on the asset side, and maybe once – where we see the floor there to try to gauge where that NIM's going to go.
John Tietjen: I would say, give or take, 10 basis points of 450.
Collyn Gilbert – Stifel Nicolaus: Okay. Okay, that's helpful. And just one last quick final question, outlooks for mortgage banking, any thoughts there? Do you see a function of continuing to take away market share to keep volumes up? Or do you think that line starts to really decelerate in the coming year?
John Millman: I think the trend in the industry is probably moderation. We're part of the industry. I suspect mortgage rates will be a bit higher and that always affects volume. So I think we'll see a moderation of activity in the mortgage banking area.
Collyn Gilbert – Stifel Nicolaus: Okay. Okay. That was all I had. Thanks.
John Millman: Thank you.
Operator: Our next question comes from the line Kyle Kavanaugh with Palisade Capital.
Kyle Kavanaugh – Palisade Capital: Good morning, gentlemen.
John Millman: Good morning, Kyle.
John Tietjen: Good morning.
Kyle Kavanaugh – Palisade Capital: I just have a question on – the regulatory capital levels are all strong, but the tangible common equity is four – three or four, five, or something like that. How do you look at that? What's your view point on tangible common equity?
John Tietjen: I guess the answer there is we like it very much to be higher. But at this particular point, we're building it to the extent that we can (inaudible).
Kyle Kavanaugh – Palisade Capital: That's the plan. And did you just mention if an opportunity arises, that's something you'll look at options.
John Tietjen: Yes.
Kyle Kavanaugh – Palisade Capital: Okay. All right. Thank you.
Operator: We'll again to the line of Rick Weiss with Janney.
Rick Weiss – Janney: Hi. Sorry about that, I just wanted to double back and see what kind of tax rate would you expect to use for 2010?
John Tietjen: At this point, I think we're probably in the 38% range. New York State's making noises again about the (inaudible) and trying to moderate that. It's still too soon to get an accurate picture of what that is.
Rick Weiss – Janney: Okay. Good. It's a little bit lower this quarter, right?
John Tietjen: Yes.
Rick Weiss – Janney: Is that truing up, John, for the quarter for the year?
John Tietjen: It's touching on the level of munis. In the fourth quarter, we purchased more munis than we had in previous quarters.
Rick Weiss – Janney: Okay, got it. Thank you.
Operator: And we'll go to the line of Bill Keefe with TSP Capital Management.
Bill Keefe – TSP Capital Management: Gentlemen, good morning.
John Millman: Good morning.
John Tietjen: Good morning.
Bill Keefe – TSP Capital Management: Just a quick couple of questions mainly on demand deposits, I know it's very hard to pin down the reasons for the increase, but it seems very impressive a point in time basis as well as (inaudible) basis and the average penalties. Is it a function of your existing customer to maintaining more deposits, the acquisition of new customers? I don't know what your suspicions are in that area. And part two of my question's on the time deposits. Are you able to – or were you able to achieve any meaningful extension of maturities in that line item?
John Millman: All right. Let me respond on the demand deposits. As you probably know, if you followed our company, we are very, very focal (inaudible) on demand deposits. We consider demand deposits an essential ingredient of any banking relationship because we're a wholesale bank and our customers are largely small or mid-sized businesses. As we discussed lending facilities with them, it is very clear that we require demand deposits as part of those lending relationships. We also talked about new borrowings and new client relationships. So a significant amount of the growth in demand deposits has come from new borrowing relationships. Again, the new borrowing relationships are required to keep demand deposits. So we're feeling very good about it. It's largely from new relationships. And we think it speaks well for the opportunities in the future.
John Tietjen: The second part of your question in terms of the extension, we did have a product out there, actually we still do. And we're pricing it at what we think is a reasonable level. We've had moderate success, $20 million moved out to three – basically, a three-year maturity on the CDs. But it's been very modest.
Bill Keefe – TSP Capital Management: That's terrific. That's it. Thank you very much.
John Millman: Thank you.
Operator: At this time, I guess we have no further questions in queue.
John Millman: All right. Thank you, operator. We thank you for your interest in Sterling, and we look forward to speaking with you in the next quarter.